Operator: Ladies and gentlemen, thank you for standing by and welcome to the Alvarion Q3 2012 conference call. (Operator Instructions). I’d now like to turn the conference over to our host Ms. Elana Holzman, VP of Investor Relations. Please go ahead.
Elana Holzman: Thank you Lola. Good morning and good afternoon everyone and thank you for joining us for Alvarion’s third quarter 2012 earnings conference call. I hope you have had an opportunity to review the press release we issued earlier today. You can find a copy on our website at www.alvarion.com. I’m joined today by Hezi Lapid, President and CEO; and Lior Shemesh, CFO. Hezi and Lior will provide an update on our business and third quarter results, after which we will open the call for questions. Before turning the call over to Hezi for his prepared comments, we would like to remind you that Hezi and Lior will be making forward-looking statements during the call. These statements are based on management’s current expectations and certain planning assumptions, which are subject to risks and uncertainties. Actual results may differ materially due to factors mentioned in today’s press release as discussed on the conference call. We encourage you to review the risk factors discussed in our SEC filings and earnings press release issued today. We do not undertake to update in light of new information or future event. Also, please note that certain financial measure we use on this call today are expressed on a non-GAAP basis and have been adjusted to exclude certain charges. We’ve provided reconciliation of these non-GAAP financial measures to GAAP financial measures in the earnings press release which can be found on our website. Hezi?
Hezi Lapid: Thank you Elana. Hello everyone. As I told you on our last earning call, the focus of our efforts since I joined Alvarion six months ago was to put in place a turnaround plan and move forward with its efficient. Our first and foremost objective was to cut our burn rates and stabilize the company financially. To-date we have been successful in accomplishing these goals. The value of expense reduction measures, including a global wage reduction, along with adjustment to headcount, which we announced back in May, brought down our quarterly operating expenses by over $3 million. We expect the full impact of this measure to be receptive in Q4. Also in an effort to streamline our operations, we implemented a new organization structure. Under this new structure we established a separate organization focused on our carrier license businesses. This new structure allows Alvarion’s organization, both the licensed and the unlicensed businesses to better execute on our different target markets. Another critical element in our turnaround plan has been our effort to bring cash into the company and strengthen the balance sheet. We are making prudent progress on this front, a portion of which is seen and reflected in our result as of September 30. This was accomplished with a further cost of our IT portfolio. To-date we received $16.8 million, although up to $19 million agreed up on with Wavion (ph). The remaining amount of up to $2.2 million is pending with the filling of the Israeli Chief Scientist Office and we are still in discussions with them. We expect to receive the remaining payment by the end of the first quarter ’13. An additional $5.2 million was received from the sale of a claim right Alvarion had against the Nortel. Bringing over $20 million into the company, without diluting of shareholders that allowed us to reduce our debt by an additional $10 million and improve our net cash. We are also continuing with our in-depth review of our roadmap and strategy. A few data points I would like to share with you today. About a month ago during the annual partner event, we demonstrated our new dual radio of BreezeULTRA. This is Alvarion’s high capacity point-to-point solution in the unlicensed strategy for this event. With this new radio cluster (ph), we are offering a highly robust solution, which makes it possible for any network owner who needs to get a clean availability and quality of service to consider using an unlicensed solution as an alternative to a licensed one. The single value of BreezeULTRA are currently bring sold. Its also upgradeable to the dual value version expected to be released in the first quarter of ’13. We are working on a new solution, (inaudible) the biggest surveillance market, the Breeze Video (ph), the market on which Alvarion is being very successful and actually has a very large informed base. There’s still a large amount of availability for this product, also in the third quarter of 2013. Some of you may have already heard yesterday in connection with Quickcomm, who introduced it with compact high power. This in addition to our RAN portfolio offers a variety of the cost effective way to provide indoor connectivity in thus urban areas. The single book architecture of the brief compact family, coupled with extended coverage range of the high-powered version, (inaudible) eliminating the need to use all those cities to reach indoor coverage. We are also working on a new version of our very successful BreezeCOMPACT in addition of 3.2, the 2.5 GHz and brand license strategy protection. The 5 GHz BreezeCOMPACT will make an important addition to our unlicensed product portfolio. Before turning the call over to Lior for a review of our results of operation, I would like to conclude by saying that starting with the fourth quarter, we will not be providing guidance. The turnaround plan, which we are in the progress of executing, is progressing and we believe that we are moving in the right direction. Nonetheless until we finalize the strategic review and complete implementing our new strategy, we will not provide guidance. Lior.
Lior Shemesh: Thank you, Hezi. In Q3 our revenues was $27.1 million down from $73.8 million in Q2 along with our previous indication. The geographic breakdown was as follows, EMEA accounted for 43% of total revenue compared to 39% in Q2, Latin America for 21% compared to 19% in Q2, North America for 16% compared to 17% and Asia-Pacific for 20% compared to 25% in Q2. We had two 10% customer in Q3, a clear WiFi customer serving operators in China and the WiMAX operators here. In carrier license business accounted for approximately 60% of total revenue in Q3 compared to 55% in Q2. Vertical market solution in carrier and license products together accounted for the other 40% of revenues. Our GAAP gross margin was negative 39.5% due a $20.8 million inventory write-off. Excluding this inventory write-off and stock based compensation, our non-GAAP gross margin was 37.6%, similar to the non-GAAP gross margin in previous quarters. GAAP operating expenses in Q3 were $8 million, which include other income of approximately $9.5 million from the same, of our IP portfolio and claim right against Nortel. Excluding this income stock based compensation and restructuring and acquisition of related charges, non-GAAP operating expenses were $16.7 million compared to $17.6 million in Q2. By Q4 when the full effect of the restructuring measures is reflected in our results, we expect operating expenses to total approximately $15 million. On a GAAP basis in Q3, we reported a net loss of $0.33 per share. On a non-GAAP basis, we reported a net loss of $0.12, slightly better than previously indicated. Turning to the balance sheet, cash, cash equivalents and investments, including restricted cash as of September 30 totaled $15.2 million. The change in cash reflects cash used in operation of $6.4 million compared to $9 million in Q2 and $10 million (Technical Difficulty). The outstanding debt is down to $12 million. According to the terms of the loan agreement the loan is now revolving with the facility based on AR (ph), which is why the loan is classified as short-term debt. The principal is due on March 2015. Inventory totaled $18.6 million compared to $37.6 million in Q2, which includes an inventory write-off of $20.8 million. The inventory write-off is primarily older generation of WiMAX. Our DSOs increased 146 days from 126 days in the previous quarter, mainly due to the decline in revenues. We continue to expect the reduction is cash used in operation in the current quarter. Now, we will be happy to take your questions. Operator.
Operator: Certainly. (Operator Instructions) And we’ll go to the line of Gunther Carter with Discovery Group.
Gunther Carter: Yes, good morning gentlemen. Could you again review the cash change from around somewhat $30 million in the prior to $15 million. In order that the use cash was around $6 million, the loan repayment was $10 million, so that’s a total of $16 million and then if you add an inclusion of $20 million from the sale of the IP, which I’m confused as to how you went down instead of up. Can you please go through that one more time please.
Lior Shemesh: Sure. Hi Gunther this is Lior. Don’t forget the sale of the IP as well as the long term. The cash mainly hit our bank account only in Q4. So what you see in Q3 is actually all just part of it. The most significant amount of the IP and Nortel will be reflected in Q4.
Gunther Carter: So in other words, the benefit of the $20 million wasn’t fully recognized in Q3, that’s why there was this variance, am I correct in that?
Lior Shemesh: Correct, correct. The income of the IP was only partially recognized in Q3, due to the fact that as of Q3 we did not get the entire approval of the Israel Chief Scientist Office. Everything will be reflected or most of it will be reflected during the fourth quarter.
Gunther Carter: I see, so that will be basically made up in the fourth quarter to normalize the cash.
Lior Shemesh: Exactly.
Gunther Carter: Thank you so much.
Operator: And next we’ll go to the line of Richard Valera with Needham & Company.
Richard Valera: Thank you. I actually got on the call last, but I was wondering if you could do a review of the Wavion business, how that was progressing.
Hezi Lapid: Well, I think the Wavion business is progressing as we are expecting, but we are not going to go into details right now.
Richard Valera: Okay, I guess earlier there had been some sort of rough targets put out there in terms of I think around $25 million for this year. You are not willing to comment on that number.
Hezi Lapid: Well, as I indicated, WiFi business is on track, but we are not giving any breakout with the new business segment.
Richard Valera: That’s great. And with respect to the WiMAX and I apologize, because I did miss much of your prepared remarks, can you just updated on what your thoughts are on WiMAX. It seems like you have been considering potentially spinning off that business and I guess obviously streamlining the company. So can you just give us an updated on where you are thinking, how you are thinking about the WiMAX business at this point.
Hezi Lapid: At this point of time, as I said at the beginning, we have established the WiMAX as a separate independent operationally division and its running nicely. All our other options are still opened to us.
Richard Valera: Okay, perfect. Thank you.
Operator: (Operator Instructions) And there is no one in queue to ask a question.
Elana Holzman: Thank you Lola. Thank you everybody for joining us today. I hope you will join us again in the further and have a great day.
Operator: Ladies and gentlemen, this conference will be made available for replay after 11:00 a.m. today, through November 21. You may access the executive replay system at any time by dialing 1-800-475-6701 and entering the access code of 269194. International participants may dial 320-365-3844. That does conclude your conference for today. Thank you for your participation and for using AT&T executive teleconference. You may now disconnect.